Operator: Good morning, ladies and gentlemen. We're starting our earnings call for 2025 and the new strategy plan for the period 2026 -2029. We welcome to all attendance via telephone and our web page. With us are Beatriz Corredor, Chair of the Board of Directors; Roberto Garcia Merino, Chief Executive Officer; and Emilio Cerezo, Chief Financial Officer. I now give the floor to our Chairwoman, Beatriz Corredor.
Beatriz Sierra: Thank you very much, and good morning, everyone. First, I will start by highlighting the most notable events of 2025, and then our CEO, Roberto, will go deeper into the year's figures and discuss the close of the financial year. I will later refer to the environment in which the Board of Redeia brings this strategy plan. And once more, Roberto will go into deeper detail on it. And as usual, we will conclude with a question-and-answer period to address any of your queries or concerns. So. as I said, let's get started with the 2025 highlights. From an operational viewpoint, we can say we've made great progress with a record of investments in TSO, exceeding EUR 1.5 billion or 40% more than in 2024, a record figure in our 41-year history. And it's almost a fourfold increase in the investment rate in nearly 4 years. This effort includes the EUR 1.4 billion invested in the transmission network with 486 extra kilometers of circuit and 217 new positions to strengthen the network and facilitate the country's industrial and productive development. Moreover, the availability index of the national transmission network operated by Red Electrica sits at 98.39%, exceeding 98.06% achieved during 2024. It is therefore clear that 2025 was a key year also from the regulatory point of view as the CNMC published the remuneration letters for the new regulatory period going from 2026 to 2031. Also, the regulator approved the remuneration for the system operator for the '26, '28 period. This -- or with this, this financial year 2026 is expected to be better than the previous year as the current methodology takes the actual costs for 2024 and foresees a regularization based on actual data from 2025, which already has an impact on the 2026 bottom line. As for the transmission network, we believe it should be adequately remunerated during a time when the relevant role played by its reinforcement and its maintenance account for. Certainly, we were expecting further signals considering the effort being made in our infrastructure and we'll have to continue, as you will see during the presentation. In the field of income and revenues in parallel, we've made progress on high-impact corporate milestones, including the completion of the Hispasat sale with a payment of EUR 725 million for 89.68% stake that we had in the satellite company. As we have said before, this strengthens our financial position to continue enabling the energy transition in Spain. The European Investment Bank has become a key partner in this regard as they support us in funding strategic projects like the pumping station in Santa de Chira and the interconnection with France. In addition, we signed an extra EUR 1.1 billion in loans with several entities, including a EUR 300 million contract with the ICO and issued a EUR 0.5 billion green bond. But if there is a relevant event in 2025, we're talking about the big blackout on April 24, an unprecedented, unpredictable multi-factoral incident as acknowledged by all official reports, both from the European experts panel and from the Government Analysis Committee. These technical analyses confirm the sequence of events as described in the systems operators' report. All reports agree that it was a serious unforeseen event, oscillations, generation disconnections in some cases through shared evacuation structures with healthy voltages within the limits of the transmission grid and inadequate voltage control service. All this led the incident to an unprecedented, as I said, incident, both at a national and international level. This comes from the technical rigorous analysis of data. There is no guesswork here and no generalization. For this reason, Red Electrica confirms that it operated the system correctly in strict compliance with the regulations before, during and the blackout on April 28 because if there is a highly regulated industry in our country, that is the electricity sector, meaning that both the system operator and other parties involved must comply with the present regulation, which is obviously not approved by Red Electrica, but by the executive, legislative or regulatory authorities after due procedure, guaranteeing that all parties concerned are heard. And this is the case for the new control operating procedure, 7.4 on voltage control, which was requested in 2020 by Red Electrica and approved in June '25 now in the process of implementation or the measures proposed by the systems operator for a sudden voltage variations control or the new functions recently assigned to the operator, which we take on with huge responsibility as a sign of recognition to the work and professionalism of our team. I will now give the floor to Roberto García Merino, our CEO, who will give you more detail on the financial results for financial year 2025.
Roberto GarcÃa Merino: And this has grown 4.2%, launched mainly by the increase of EUR 71 million of this regulated in Spain. This is due to the new financial contribution that was approved by the CNMC and the new types of help that has been given have been adjusted by the lower maintenance units that we need to spend. And internationally speaking, we have gone down a little bit because of businesses in Chile and because of the exchange rate between the dollar and the euro that was compensated in other countries like Peru and Brazil. So, the fiber optic business and the positive effect of the inflation of CPI-linked contracts is offset by the renegotiation of some contracts in our context of market concentration. With regards to operating expenses and without considering those that are offset by other operating incomes, including Salto de Chira, we see that the expenses grew 5.6% in an environment of increased activity and operational demand in line with the business growth and the network requirements. Personnel expenses went up due to a larger average workforce, which was necessary to be able to meet the challenges arising from the strong growth of the group's regulated assets and also higher salary costs. Other operating expenses grew basically due to higher maintenance costs in Spain, which have contributed to have a high availability rate for the transmission network. The EBITDA grew 4%, driven mainly by higher contribution from the TSO. Also, it's noteworthy that there is an improvement in international business, aided by lower operating expenses as well as the strong performance of fiber optic business, which combines higher revenues with more contained costs. The profit has reached EUR 506 million, which is 37.2% higher than 2024 due to the impairment recorded in 2024 following the agreement to sell Hispasat, while profit from continuing operations grew by 1.6%. We should say that the financial result worsened by EUR 20 million due to lower financial income in 2025 compared to 2024, mainly due to the lower placement of cash surpluses. Corporate income tax increased with an effect rate above 25% due to the fiscal impact and dividends that we received from group companies that are not part of the tax base. From the financial perspective, the net group's debt is EUR 5.4 billion at the end of the year, which represents an increase of EUR 100 million compared to December 2024. The cash generation, together with the EUR 725 million received from the sale of Hispasat and dividends from the group, especially from Brazil, have helped us to contain the growth of that debt and continue to have solid financial structure with an EBITDA rate of 4.4x and an FFO of net debt of 18.9%. With the results of 2025 and what we've already seen from the period of '21, '24, we can say that we have exceeded all the objectives set out in our strategic plan for the period of 2021, 2025, placing the company in a very solid position to tackle the challenges of the new strategic plan. The TSO investments have reached EUR 4.4 billion, exceeding the initial target of EUR 3.3 billion, ending with a historic figure, as was said before, of more than EUR 1.5 billion of TSO in 2025. The EBITDA margin stood at a solid 75.8%, which also has complied with what was foreseen. We have a balanced financial structure with a net debt-EBITDA rate of 4.4% and an FFO over debt of 18.9%, and we have preserved an A- credit rating with both Fitch and Standard & Poor's. Finally, we have ensured a stable shareholder return throughout the whole period, and we've improved even the initial dividend distribution target. In short, we're closing this plan in 2025 with an excellent level of execution and a very solid position in order to face the next stage. Now I'd like to give the floor back to our Chairwoman.
Beatriz Sierra: In truth, it great to hear how we met our strategy plan exceeding expectations. So, allow me to congratulate the whole team for it. In recent years, the energy industry has undergone a radical transformation. We're witnessing a new scenario driven by 3 large dynamics: the acceleration of electrification, the growing demand for network infrastructures to connect a more dispersed and fragmented generation structure and the need to ensure a secure, sustainable and competitive supply always. Electrification moves on at an unstoppable pace and the demand for electricity grows faster than global energy consumption. This change is driven by new needs, starting with the expansion of electric vehicles and data centers, and continuing to the electrification of industry, the installation of electrolyzers, heat pumps and battery factories. All these elements are redefining consumption patterns and demand more robust, smarter and more resilient networks. Spain specifically faces an enormous opportunity. The growth of electricity demand associated to new industrial and digital consumption places our country in a strategic position within Europe. This scenario is not safe from significant challenges as it offers enormous potential to lead the energy transition and consolidate a cleaner, more efficient model in which Spain will take a leading position due to its high and secure penetration of renewable energies, reaching nearly 57% of our energy mix, including 8 gigawatts of photovoltaic self-consumption. In this context, electricity networks are the strategic enabler of the transformation. Without well-dimensioned robust grids, no transition is possible. Therefore, this is a strategic priority for upcoming years. Globally, and according to the World Energy Outlook 2025, global investment in networks will strongly grow until 2035, driven by the electrification of end consumption. For an electricity transmission operator such as Redeia, this scenario is a sustained opportunity for growth backed by a stable regulatory framework, increasing investment requirements, a clear road map for expanding and modernizing the grid and with agile administrative and environmental processing of projects, which is one of the major areas for improvement at present. Moreover, the decisive push also comes from European institutions to make decarbonization into the real driver for growth, security and energy autonomy, which are vital for the continent. In this regard, tools such as the networks package recently presented by the European Commission seeks to boost investment in electricity infrastructure, speed up permits and improve the coordination of network planning at the European Union level. And the same can be said of the Energy Highways project, identifying up to 8 large bottlenecks in Europe that need to be resolved urgently to complete the Energy Union. These include 2 new trans-Pyrenees interconnections, which are absolutely a must to meet EU targets and enable the degree of interconnection required by the Iberian Peninsula, which, as I usually say, is more of an electricity island than Ireland itself. This institutional commitment is fund much more complex environment. not only due to the massive integration of renewables, but also because of the emergence of new consumption modes and technologies. The electricity system is evolving towards a more dispersed structure with decentralized energy resources and increasingly active consumers. This requires new tools, new services and a much more dynamic operation of the system. To this end, digitalization will play a key role, smart grids, sensors, real-time control systems and technology platforms that will allow us to anticipate and manage events in a much more variable environment. In this context, storage will also play a fundamental role in maintaining system stability. And to face all these challenges, Redeia as system operator will have to develop new capabilities, ensuring the resilience of the system and guaranteeing the quality and security of supply at all times. In summary, we face a more demanding situation filled with opportunities to move towards a more efficient, secure and fully decarbonized system. Thus, the national integrated plan for our country sets a clear path to advance in decarbonization and electrification of the country, setting up very ambitious targets. Amongst these, reducing emissions by 55%, increasing energy efficiency, cutting in half our dependence from the outside and achieving more than 80% savings in renewable generation in the electricity mix. Of course, the vision requires infrastructure to support it, and this is where electricity planning comes into play for the period 25-30. This process mobilizes over EUR 13 billion in investment in the transmission grid to integrate new renewable generation, facilitate electricity consumption and strengthen security and supply. There is a '25 to '30 plan currently in the phase of analysis for the comments submitted by public consultation launched by the ministry is structured around 2 main principles. On the one hand, maximizing the use of the existing grid to make it more flexible and resilient and on the other side, deploying new infrastructures wherever necessary to integrate renewable generation, meet new consumption needs and reinforce the security and stability of supply. It also integrates new fundamental elements such as international interconnections and the connection between island and Peninsula systems. Beyond moving ahead on these projects from the new plant, I would also like to stop here for a moment to discuss the present state of the transmission network, which can be by no means be described as collapsed. The current grid enables the circulation of electricity produced by generation facilities for a total installed capacity of 150 gigawatts, a record for the national electricity system. 70% of this installed capacity comes from renewable sources, and it's much more dispersed and fragmented into smaller plants throughout the country. But not only that, with the current network built and planned, permits have already been granted for access and connection in projects totaling another 164 gigawatts, out of which 129 belong to wind and PV facilities, 16 gigawatts for storage facilities and 19 gigawatts for demand facilities. Out of the latter, 19 gigawatts, nearly 12 gigawatts of capacity granted since 2022, which is when the present plan was launched. And those 12 gigawatts are not in service yet, not connected to the grid and therefore, not generating demand because the developers have a minimum of 5 years to develop their projects and then connect to the grid. And even in those conditions, 25% of Red Electrica's nodes still have available capacity for new applications. Therefore, we cannot talk about lack of anticipation, considering another piece of the context. The present planning '21 to '26 contemplated proposals to deal with 2 gigawatts of new demand and 12 were granted. When these 12 gigawatts come into service, they will entail an increase of 25% of the present demand in the Spanish system. The capacity of the transmission network that distribution operators plan to reserve for facilities connected to their own networks also doubles the historical peak of the system, which is 45 gigawatts. Even so, we need to further reinforce our networks, both distribution and transmission. The energy transition is a historic opportunity for competitiveness, industrialization and the strategic sovereignty of Europe and the Iberian Peninsula and of course, specifically for Spain. The main projects for the future plan '25 to '30 includes major access running across the Peninsula, reinforcement of rings around large cities and new links between Islands and with the Peninsula, which will enable quick deployment of renewables and new electricity consumption connected to the electrification of our economy. We will continue to work on interconnections with France, Portugal and in the near future with Morocco to increase the security of our system. In addition to all this, we're implementing storage projects such as Salto de Chira in the Canary Islands or the Balearic Islands. And we're also integrating new voltage control elements in the Peninsula and new synchronous compensators are being installed to reinforce the voltage regulation capacity and will guarantee operational stability in scenarios with high renewable penetration and lower system inertia. In sum, it's a full nation program based on projects that structure and connect the entire national territory and will drive a visible transformation in each and every region, as you can see on this image, which is by no means exhaustive as it reflects only the scope throughout the country. Investment in infrastructure is necessary, but it is also necessary in technology, digitalization and new capabilities in a complex system where the priority remains secure supply. To achieve this, we have the best possible organizational framework, the TSO model created in Spain precisely with Red Electrica 41 years ago and then adopted by all European countries as it is the most effective system in terms of management, the safest in terms of operation and the most efficient in investment terms. Therefore, the new plan sets out an unprecedented level of investment and this plan will be translated into new infrastructure. Between the years '25 and '30, we estimate that we will commission EUR 8.4 billion, which actually might reach EUR 9 billion if the processing procedures are streamlined as proposed by the EU and the Spanish government. Looking ahead into 2031, virtually all the plan will have been implemented or underway with a potential of up to EUR 11 billion in commissioning and execution. In sum, we're going from ambitious planning to solid execution capacity with enough room to accelerate even further if the regulatory framework allows it. Going on to the international context, Brazil, Chile and Peru are 3 of the most attractive electricity transmission markets in Latin America, not only because they offer stable and predictable regulation framework, which is fundamental to guarantee legal certainty and long-term visibility for investments, but also because these countries have consolidated transmission models with centralized planning and transparent awarding processes, creating a favorable context for us to develop our transmission activity. As for telecommunications in Spain, which is the third fundamental pillar for Redeia, the industry has been undergoing a deep transformation process for years now. The consolidation of large operators and local operators continues in a context in which efficiency and scale play key roles in competitiveness. And certainly, cybersecurity has become an absolute priority. Networks require increasingly advanced measures to protect critical infrastructures and safeguard user data, a trend that will continue to intensify in the coming years. Another fundamental element is the rise of AI and automation, enabling networks in real time and significantly improving customer service, thus opening the door to new operating models. At the same time, the industry advances towards more sustainable networks with clear focus on energy efficiency and the reduction of carbon footprint, which is particularly relevant for operators with vast infrastructures over the territory. There's also a strong pains maintained in infrastructure development and sharing, which promotes efficiency and accelerates the offers significant opportunities for Rentel, the leading provider for dark fiber in the country from data centers and submarine cables to hyperscalers and the growing cloud ecosystem. The drive for technological innovation and digitalization will also be the focus of the group's technology platform, ELEWIT, which will emphasize on operational efficiency, security and the maximization in the use of assets. And to round up the framework that will surround the company in the coming years, it is it is important to convey the meaning behind this whole strategy plan, which determines each of our actions. I'm talking about our unshakable commitment for 2029. This commitment is a direct response to our context, a clear road map to drive energy transition based on neutrality, technical rigor and innovation, a transition always guided by a deep sense of public service to add value to individuals, territories, nature and biodiversity. This is a responsibility we take on to lead this change with vision, but also with facts and data. Our new sustainability plan that we're presenting to you today defines 2 major ambitions organized into 7 strategy vectors and supported by 5 management levers that guide our actions. The framework will guide not only our decisions, it will also make sure that each project, investment and step forward will contribute to a more sustainable energy model and generate a positive impact on the environment. In short, we are presenting today the way to turn our commitment into results and the way networks will become the true engine of sustainable transformation. For this purpose, we have set ambitious measurable goals that cover the entire group from promoting electrification and significantly reducing our emissions to ensuring a positive impact on nature and promoting regional development, including extending sustainability criteria to our entire supply chain. We're also reinforcing innovation and digitalization, consolidating our ethical governance model and moving towards increasingly sustainable funding. Together, these objectives enable us to tackle the energy transition with rigor, responsibility and clear foresight to ensure our growth that will always be accompanied by social and environmental value. For this purpose, we have our comprehensive impact strategy and a new social innovation plan. At Redeia, we understand the importance of dialogue and sustainable positioning as a key driver for management. And that's how we understand this dialogue, not just as a mere matter of transparency, but also as a strategic tool to build trust, anticipate expectations and position ourselves as a benchmark in sustainability, both nationally and internationally. And this is proven by our bottom line that shows our continued engagement because each of the assessments we go through from Standard & Poor's Global to MSCI measures not only our environmental, social and governance performance, but also allows us to benchmark our practices against the best standards in the industry. And thanks to this active listening approach to our stakeholders, and thanks to our alignment with international best practices and our commitment to sustainability, Redeia is now ranked at the top 1% of the world's most sustainable companies according to S&P and has once again obtained top ratings in key indicators such as the CDP's A list, among others. In sum, these results are not an end in themselves, but the natural consequence of a model based on transparency, rigor and the conviction that sustainability is central to our value proposition. We will continue to reinforce this position through open, constructive and constant dialogue with all of our shareholders so that we can continue to move forward in credibility and leadership. I will now give the floor back to Roberto Garcia Merino, our CEO, for a deeper explanation on our strategy for the period.
Roberto GarcÃa Merino: Thank you very much. Now that we've analyzed this economic and sectorial context, I'm going to talk to you now about the new strategic plan for Redeia to the period 2029. This plan seeks to promote the energy model and connectivity of the future, generating a positive impact on climate change, nature, territory and people. The strategy '26-'29 that we're showing you here is a decisive step to consolidate our leadership and make sure that we have a robust electric system that is prepared for decarbonization, reinforcing the essential role that energy transmission plays in the energy transition as well as offering a reliable and technically advanced fiber optic network that will contribute to bridge the digital divide. In this regard, the plan focuses on a strong development of regulated activity in Spain. And therefore, it is our fundamental commitment for our company that more than 90% of our investments are allocated to transport and operation. This reflects our top priority for developing electricity planning, optimizing system operation and ensuring supply quality in a rapidly changing environment. At the same time, Redeia will continue to consolidate its international and telecommunications activities, which provides stability and long-term value. The strategy also focuses on operational efficiency, innovation, digitalization. These are key elements for a more demanding and decarbonized system. Similarly, attracting and retaining diverse talent becomes an essential pillar for successfully addressing the challenges facing the electric sector. Overall, this plan reinforces Redeia's mission to promote a sustainable and reliable and future-proof electricity system, providing shared value to society. Today, we present an ambitious investment horizon totaled EUR 6.5 billion, of which EUR 6 billion will be allocated to domestic transport activity. This brings us to a historic level of investment of TSO with an average annual investment of EUR 1.5 billion, which is 70% higher than the average annual investment from the previous strategic plans from '21-'25. If we consider the EUR 6 billion an investment that will be executed in the period '26, '29 as well the investment that took place in the year '25 and what will be taking place after this plan throughout the years of 2030 and 2031, the total amount of investment will reach levels close to those considered in the draft from '25 to 2030. Likewise, our firm alignment with the European Union's climate and sustainability objectives also reflects the fact that 100% of the TSO investments are eligible under European taxonomy. Therefore, we expect the transport part of Spain should interconnection in the Bay of Biscay as well as the deployment of another 400 kilowatts that will connect different regions or various regions along with installation of synchronous compensators in the Peninsula, Balearic and Canary Island systems as well as the Salto de Chira project. Together, these actions will enable the company's RAP to be EUR 12 billion in 2029, and it should grow more than 35% throughout this period, reaching EUR 14.4 billion if we bear or take into account the more than EUR 2 billion of work in process that will put up to service in the subsequent years. From another perspective, it's clear that we are facing the challenge of developing the necessary infrastructure to be able to achieve decarbonization in a highly competitive and saturated market environment. It is therefore essential to ensure the availability of the supplies and services that are needed to address the development of the TSO at a reasonable cost. However, the visibility that we have on investments for the upcoming years allows us to anticipate and take measures that significantly reduce the execution risks. Actions such as conducting comprehensive risk assessment, which has enabled us to design new purchasing strategies adapted to a more demanding industrial context and also entering into medium- and long-term framework agreements, which provides stability in prices, terms and volumes as well as executing commodity hedges to stabilize the cost of the more sensitive equipments are becoming fundamental to our business. Thanks to all of this, we already have more than 70% of our strategic supplies guaranteed up to 2029. All of this -- however, all of this investment would not make any sense unless we had a stable regulation behind it. And we believe that we now have good visibility and stability for the company in the next 6 years. I think they are already well known, the new methodology guarantees a return of investment of 6.58%. In addition, unit values have been updated both for CapEx with an average increase of 6.4% as well as operation and maintenance. In this case, an adjustment of 13.4% for maintenance income compared to the previous period. It is worthy to note that we've taken our first steps towards recognizing work in progress for unique facilities with amounts invested prior to the year and the commissions being recognized and capitalized for up to 5 years at the cost of debt, and that includes the calculation of the financial remuneration rate. In our continuous effort to generate value for our shareholders, we can say that the pursuit of operational efficiency and managing leverage and financial costs will enable us to achieve a return on equity of at least 9%. Although our activity will be focused on the transport business in Spain in 2026, we will also -- '26 to '29, we will also maintain an investment plan of EUR 150 million internationally focused on strengthening and expanding transport networks in Brazil, Chile and Peru. In this way, we consolidate our presence in these regions and increase our future options. We will also continue to invest in our dark fiber business, a market in which we are a leader, thanks to having a stable, predictable model and a long-term focus. Throughout the period '26, '29, we will invest about EUR 110 million, mainly aimed at strengthening our network, expanding capacities and meeting the demanding growth for high-quality connectivity. Our objectives for this period are focused on 4 main areas: maintaining our position as a leading provider, strengthening relationships with strategic customers, capturing new business opportunities and develop emerging business associated to the cloud and the high-performance computing. Also, we will continue to explore alliances with strategic partners that will allow us to expand our reach and reinforce our role as an essential part of the country's digital infrastructure. Another significant aspect is the technical innovation and digitalization, which are essential for driving the group's efficiency, especially in TSO. From at ELEWIT, we are developing solutions that optimize processes, strengthen security of supply and increase the use of our assets. Between '26 and 2029, we will allocate EUR 40 million to projects that support the investment plan and prepare our networks for the energy transition. For us, innovation is a key lever to ensure a safer, more efficient and future-proof system. Now let's focus on the evolution of our economic indicators looking ahead up to 2029. These are the direct reflection of a company that is prepared to face an unprecedented investment cycle, capable of maintaining sustained growth with a greater focus on might, which is above 5% per annum. And as far as the net benefit is concerned, that growth will be about 3%. The significant growth of the net debt is directly linked to the investment rollout that is contemplated in the plan, even so we continue to have a robust financial profile with ratios that will allow us to preserve a solid credit rating and continue to access financing in a competitive form and terms. As far as shareholder remuneration, we've established a dividend policy that assumes an annual growth of 2% until it reaches EUR 0.87 per share in 2029, ensuring sustainable and consistent growth in a context of historical investments for the group. The regulated business continues to be one of our most important cornerstones of results. 90% of the group's EBITDA comes from this activity, which gives us stability, predictability and a solid foundation for our future growth. The weight of the TSO will increase in the next coming years, driving the EBITDA growth, which will grow at a rate above 5% per annum throughout that period, reflecting our capacity to execute strategic investment, maintain operational efficiency and advance in the energy transition of the electric system. And now that we have presented the fundamental plans of our strategic plan, we will take a closer look at our financial objectives and the road map to be able to achieve them. So now I'd like to give the floor to Emilio Cerezo. Thank you.
Emilio Cerezo Díez: Thank you, Roberto. As we all understand, in coming years, we will see a decisive boost in the development of electricity transmission network with an average annual investment of EUR 1.5 billion in the TSO. In other words, about EUR 6 billion over the entire period. This investment will mean that by the end of 2029, the RAB plus work in progress will be located at EUR 14.4 billion or a 30% increase compared to the end of 2025. At the end of 2025, the TSO RAB will exceed EUR 12 billion. EUR 11.4 billion from transport and EUR 600 million from Salto de Chira or an increase of EUR 3.1 billion compared to 2025. Focusing on the transmission grid, those EUR 11.4 billion in RAB will represent an average annual increase of 6.4%. Likewise, at the end of '29, Red Electrica will have a significant volume of work in progress for projects that will be commissioned in subsequent years. On the left-hand side of this slide, we break down the evolution of the transmission RAB from EUR 8.9 billion at the end of '25 to EUR 11.4 billion at the end of '29. The transmission network RAB will grow by EUR 2.5 billion as a result of the significant volume of commissioning of EUR 4.4 billion already net of subsidies, partially offset by the amortization of EUR 1.6 billion of RAB derived from the operation of the remuneration model. And on the right side of the slide, we show the evolution of work in progress expected to grow by EUR 600 million as transport investments will exceed the aforementioned commissioning operations of EUR 4.4 billion. To run this plan with maximum solvency, we've designed a solid diversified financial structure, allowing us to run the investment plan without increasing capital. Over the course of the next few years in our strategy plan, we will have funding requirements of approximately EUR 9.4 billion, mostly derived from the significant volume of investments that we've been mentioning along with the payout of dividends to our shareholders. As you can observe on the left-hand side of the slide, the EUR 9.4 billion will be funded through the FFO we will generate, the collection of subsidies and new financial debt contracts. First of all, there is the solid generation of operating cash flow, which continues to be one of the group's trademarks. Likewise, the collection of subsidies in connection with strategy projects will account for 14%, 14% of the sources of financing. The amount to be received will be approximately EUR 1.3 billion, and most of it will be collected between 2026 and 2027. Finally, using our solid credit rating, we will finance over EUR 3.8 billion via debt, which represent 41% of these EUR 9.4 billion in funding requirements. New financial debt will be raised by diversified and competitive access to financing markets. In this context, and during the term of the strategic plan, we plan to issue EUR 1.5 billion in hybrid bonds or 16% of our new sources of financing. Our financing structure evolves towards an even more diversified competitive model with greater weight of hybrid instruments, which at the end of the strategy plan will amount to EUR 2 billion. In 2029, the average maturity of debt will be 4 years, and the cost of debt will be 3%. Our competitive average cost of funding during the term of the strategic plan, which we estimate to be around 2.8%, along with the group's leverage capacity are vectors for creating value for our shareholders in the future. Moreover, we have a strong liquidity position at the end of 2025, reaching EUR 3.3 billion. As for currencies, we will continue to maintain a very significant weight of our funding in euros. At the same time, we would like to stress that we're taking decisive steps towards reaching 100% sustainable financing by 2030, thereby reinforcing our commitment to the energy transition and best practices in the market. The financial ratios we have set as targets for the period ensure a financial profile compatible with robust credit rating. These ratio commitments are head and shoulders above some of our European peers. FFO to net debt will be above 14%. Net debt to EBITDA will remain below 5.5x and net debt to RAB will remain below 60%. Together, these ratios confirm the sustainability of our growth and our financial discipline. I will now give the floor to our Chief Executive Officer to continue with the main conclusions.
Roberto GarcÃa Merino: Thank you very much, Emilio. And to conclude this presentation, I'd like to summarize the key messages that define our strategic plan 2026, 2029 and the path for growth that we have built for the upcoming years. In this period, 2025, 2029, Redeia is undertaking the most ambitious investment cycle in its history with a total of EUR 6.5 billion, which is a figure that reflects our firm commitment to energy transition. A large part of these investments are aimed at expanding and modernizing the transmission network to meet the growing needs of electricity system, the massive integration of renewable energies, electrification of the economy and structural improvement and resilience of our infrastructure. All of this results in a significant increase of RAB of 35%, reflecting the expansion of the network and new commissioning reaching EUR 12 billion at the end of 2029, rising to EUR 14.5 billion if we consider estimated work in progress at the end of the plan. This investment effort is accompanied by a solid and responsible financial policy, highlighting that this plan will be financed using international financing alternatives without the need to increase capital, thus preserving stability for our shareholders and reinforcing the financial discipline that characterizes us. In addition, we maintain a policy of increasing sustainable dividends with an annual growth of 2% throughout the year, which will take it to EUR 0.87 per share in 2029. This reflects an appropriate balance between investment, financial strength and attractive shareholder results. And last but not least, I would like to highlight that the growth of our regulated assets will be the cornerstone of the group's value creation, reflecting an increase of EBITDA and the group profit for that period of time. Furthermore, we look beyond this period covering our strategic plan, we will consolidate the growth initiated this investment in this period as the RAB will exceed EUR 15 billion at the end of 2031, and we will also have work in progress worth around EUR 2 billion in projects that will become on stream in the future, which we'll be able to confirm once the new planning has been approved. We are on a solid growth trajectory, which ensures long-term visibility, representing a quantum leap for Redeia in terms of RAB with greater remuneration capacity and a structural contribution to the development of the Spanish electricity system. Thank you very much for your attention. And now we have questions and answers.
Operator: [Operator Instructions] First question from Flora Trindade from CaixaBank.
Flora Trindade: I have 2 of those. I imagine there will be many questions, so I don't want to take up much of your time. I wanted to understand the CapEx you have reserved for the plan because in '25, you had a CapEx of EUR 1.55 billion and then the average drops throughout the rest of the plan. I wanted to understand why this average goes down and whether you see any upside in these investment levels beyond 2026? That's the first question. The second one, in terms of your funding, you're not including any type of asset turnover or rotation. Is this part of the plan if things don't go exactly according to plan, what you intend to do and which countries might become a priority for you, if that's the case?
Unknown Executive: Well, thank you very much, Flora, for your questions. First of all, I believe we have a very clear investment horizon for the -- for oncoming years, at least within the scope of our strategic plan. This year, we finished 2025 with a record number of approximately EUR 1.5 billion, which is the order of magnitude we expect as an average for the whole period of the future plan. Our engagement is EUR 6 billion during the period '26 to '29. That's 4 years. Therefore, our expectations, and we're pretty certain of those is that execution capability in terms of investment will remain around those EUR 1.5 billion per year during the length of the plan. And I believe we're making a significant effort to that endeavor. If we compare our present plan to the last one, that's an increase of 70%, 70, and the level of certainty in our investment is very high, even under strict standards since we have already secured practically all the critical supplies to run the plan and most plants are in a well-advanced stage of permits or commissioning. So that's a very solid calculation. About your question about assets. Well, fortunately, our starting point in financial terms is very robust despite the level of investments we're contemplating. We assume we can fund this strategy plan with our own capital without going to the market. Well, obviously, we will have to increase our hybrid debt. And certainly, we also have European funding and other types of subsidies. And our investment horizon will probably, after a rating review will remain robust in terms of financial solvency. So, we will not -- we will not need any disinvestments as we did in our '21 to '25 plan. Certainly, this yields for opportunities. In case the investment pace were to be accelerated, we have additional drivers like deconsolidation or the partial disinvestment of some non-TSO-related assets. But according to the initial plan, that will not be necessary, and we can finance our operations without any capital increases and just use the regular channels for funding in our plan.
Operator: Next question comes from Javier Suarez from Mediobanca.
Javier Suarez Hernandez: I had 3 questions. The first one has to do with the blackout that you mentioned recently throughout your presentation, like the origins and causes and effects of the blackout. So, I wanted to ask you, from your point of view, what -- actually, like what should we learn in Spain and the rest of Europe? What should we have learned from this blackout? And what measures have been included in your business plan to make sure that this situation does not happen again? And in that sense, I also wanted to ask about the documents that we'll be waiting for about the responsibilities that are connected to the blackout and what documents are these? And I understand there's one from the Spanish regulator. And is there any other type of fine? Or should we assume that the attitude of the management of not having money ready for this, would that change if we have some kind of fine because of the blackout? That's the first question. Second one has to do with the extending the business plan up to 2029. So why has the company not extended it beyond 2029? That really has to do with the new plan and the infrastructure plan has not been approved. But I do believe that there's a lot more visibility after 2029 and perhaps bearing in mind that the company will have new services above and beyond the last date of the business plan you've showed us perhaps the growth of the company has not been valued properly, valued too low, infra valued because of this. So, I would like to try and understand why have you decided to have a cutoff time for 2029 and not a date further on? Third question, financing for the plan. Have you included getting to the end of the plan? You decided to get there with EUR 2 billion with hybrid debt. And we're talking about the EPS now because that should discount the financial cost that is connected to this hybrid debt. So, it's fair to say that, that EPS growth will be lower than the -- what you've been pointing out? And to what extent could that be lower?
Beatriz Sierra: Well, very well. How about if we divide up these questions? With regards to the blackout on the 28th of April and the reports that are pending, I think the most relevant one have already been printed, and we got one from the government committee and an article had to do with national security. Another was the report that the operating sister made, and they were obliged to do this because of the norms that we have, the laws that we have when something like this happens in Spain. And then also the -- we named -- the European Union named an expert panel for this, and that's the third one. So chronologically explains everything without any doubt of the data and the rigor, what were the various or different incidents that happened throughout this whole process, starting by what happened at 2 in the morning or at 12:03, rather. So very well. So, the transmission network never failed. We had more than 7,000 maneuvers without having any kind of failure. So, the maintenance of the part that has to do with Red Electrica was actually complied with at all times. And we'll see this in these reports and in forms. But we see that some of the laws were not complied with -- this is by the transport company. And in our annual accounts, we have not included this because we don't believe that we're going to be responsible for any matter, bearing in mind that we complied with the laws in a very strict manner. What we cannot ensure is that all of the agents of the sector actually did the same. Now in the strategic plan, there is -- well, it reflects many things, although it's not totally concrete, but it's the planning for 2025, 2030 that has not yet been approved. We hope it will be approved at the end of this year. But as we said before, here, we gather like a whole series of infrastructures that so far were not operative in Spain, such as synchronous compensations and also through changes in the planning in 2024 and especially in 2025, we have included tools for start comes and fast and other matters. So, our plan, Salto de has decided to make all of this infrastructure that will give us an operating system that is resilient and safe with greater guarantees so long as that we can always guarantee that the other agents of the sector comply. And as our CEO just said, we have taken some decisions to be able to have material and special material, especially the more critical ones to be able to be in the right condition to deploy this infrastructure as soon as possible because actually, the laws that we have now does not let us change this infrastructure at this point until such time that the planning has been approved completely. So, we have 70% of all of this material for this plan 2026, 2029. Therefore, we're in the right conditions to incorporate all of these new tools that the planning establishes for this electric network. With regards to the reports that are pending, we foresee that the main report at the end of March should be ready with the measures and recommendations will be incorporated into that report. And with regards to the regulator, as far as we know, files have been open and research is being done. They've asked information from the sector. And as it was recognized by the ministry from 67 companies that were asked for information, we have been the only one that has been totally transparent with the data and the origins, we at Red Electrica. And therefore, so that's a question that the regulator should answer. Like what is the period that this file is going to be ready? And what step will be taken once we know its content. Your turn.
Roberto GarcÃa Merino: Thank you, Javier. Thank you for your questions. With regards to the plan and the period and how long it lasts, we've decided -- well, it has to do with the visibility that we have and the commitments that we have to assume with the market. As we were saying before, we are very clear and we are certain that our period of 2026, '29 is very clear. And we do have a certain sort of visibility or -- but not so much commitment for executing between 2030 and 2031 because as you said, that investment that will be taking place between 2030 and 2031, it depends also on the final approval of the new planning. But what is true is that we have moved forward with significant projects that will be up and running around about 2029. And right now, we don't know if it's going to be in 2030 or if it might be delayed until 2031. That's why we have not wanted to have a firm commitment with the market beyond 2029. What is true is that the visibility that we have of putting in service or the up and running that we can get by the end of 2031 is quite clear actually. Once we have reflected the level of the RAB of EUR 15 billion is also an objective that is something that we can attain. But of course, we have assumed this financial commitments is more complicated to do it in such long term. So, we wanted to give a reliable information and things that we know that we'll be able to comply for right now and then wait until we have proper approval of the necessary matters to be able to commit to things after 2031 for like 2030 and 2031. But what is true is that the visibility that we have now, and we're talking about the years '30, '31, we're talking about volumes that are above EUR 4 billion in those 2 years. So, we'll have to wait to see that we do have a proper plan to be able to be much more concrete on this matter. But in any case, the visibility that we're giving now as far as the evolution of the RAB is truthful, and we wanted to assume financial commitments up to 2029, where we have greater certitude. Emilio, would you like to answer the next question?
Emilio Cerezo Díez: Thank you, Javier. With regards to what you said about hybrid debt, we want to have EUR 2 billion of hybrid bonds at the end of our plan, which bring us close to the maximum capacity that we have for that instrument so that we will be able to be qualified as equity content as far as our rating agencies are concerned. And it's true that the accounting treatment that we're giving to the hybrid, as you know, is to consider within our equity, the EUR 2 billion and payment for the interest is also registered within all of our equity and the profit and loss. And also, the increase of -- well, the interest rates of the hybrids, if we were to account for them within our results, the average result that we would have is would be less than 1% of these emissions throughout the next few years.
Operator: Next question comes from Ignacio Domenech from JD Capital.
Ignacio Doménech: Mine is about your rating. In 2029, you're setting up a guideline for a net debt exceeding 14%. And I understand that unless the S&P rating changes, that would not be compatible with maintaining BBB+. So, considering your talks with the rating agencies, do you expect them to soften these targets, this guidance or perhaps it's not a priority for you to hold on to that BBB+?
Unknown Executive: Well, thank you for that question, Ignacio. About financial solvency, well, historically, and obviously, as part of this plan, Redeia's priority is maintaining a solid credit rating without committing to a different rating. Certainly, our investment volume will bring us close to financial ratios that might maintain the company in BBB+ just as will happen to other peers in the same field. Based on the analysis we have conducted on financial ratios, we're confident that we will remain there without making a firm commitment to any rating whatsoever. Our priority is remaining financially solid to tackle our strategic plan and maybe future developments, too. But consistently with other recent reviews from other agencies, we do expect to maintain that BBB+ credit solvency. That's what we expect from the outcome of rating agencies reports. They will have to assess a different Redeia without Hispasat in the group, and with a vision -- a different vision on the April 28 incident that differs from the view when the incident had just happened. So, in financial terms and in terms of debt, I am convinced that we will still have a good credit rating, and we expect a revision that will keep us at BBB+.
Operator: Next question from Gonzalo Sanchez from UBS.
Gonzalo Sánchez-Bordona: So, I have a couple of questions. The first one has to do -- well, first of all, I'd like to understand the possible leveraging that we have because of the risk of these figures going up and down that you presented today. Regarding investments and let me explain myself. If there is an additional delay from, we're waiting as far as like the approval of the investment plans, then I assume this could generate 2 situations and one would be that the investments are more expensive than what we foresee due to inflation. And then in the second place, the part that's not insured, that 30% that is not insured would be open to these fluctuations. So, I'd like to understand how are you considering this with regards to possible risks to going up or going down because as far as I understand, according to new regulation, there is a certain pass-through. But still, I wonder how would you consider this at a mathematical -- from a mathematical standpoint. So that's it going up, going down, but especially if it's going down. But as far as going up is concerned, you have given a delivery throughout 2026, very interesting as far as the EBITDA margin, which is much higher than what was considered in the plan. So now I understand that you're taking a much more conservative point of view as far as the increase of these margins. So, I'd like to understand what type of leverage the company has to be able to improve that result. And then generally speaking, any kind of upside or downside in this sense would be interesting. And then the second question has to do with what was mentioned about the rating. Due to the conversations, we had before, I understand that, that 14% would be within the ranges of BBB+, of 2 of these rating agencies. So, I'd like to understand what is the type of conversation that's happening with this on that subject matter, are you expecting a change? And if there is going to be a change, what kind of impact could that have in the plan with greater flexibility? I mean, what would the impact be in the plan?
Unknown Executive: Thank you very much, Gonzalo. Very well. With regards to the commitment for investment, '26 to '31, this is actually quite -- you're right in what you say. There is a potential for delay in the planning. And if it were significant, it could affect it a bit. But I want to remind you that there is a volume for investment, which is a volume that is really quite important. These monies, they come from the planning that we have now and then we're putting it in the other plan that is being analyzed. So '26, '27 and all the way to part of '29 corresponds to that monies that we have at least for the next 3.5 years. And it's real and true. And of course, there will be something pending for the approval, for the planning, but we have this intuition and due to the interest, that is needed for the deployment of these infrastructures that it can be a quick approval in this very year. And we also have mechanisms that might be taking place throughout the strategic plan period in order to accelerate these periods and to be able to compensate a potential delay. So as far as investment is concerned, I think it's really quite -- the certitude level is quite high. So, we haven't wanted to commit beyond 2029 because then between 2030, 2031 will need to be approved later on. But as far as the plan period, these objectives are really quite firm. With regards to possible price evolution, I don't think we are -- we're in the situation we lived through 2 or 3 years ago. We do see that most of the supplies and the equipment have stabilized the prices. And in those critical supplies with a greater demand, we have acted or jumped the gun as it were, and that is much more concrete. And so, we don't see any difficulties or potential changes. And also, Gonzalo, the new framework that we have for regulations and distributions also gives us -- well, it permits us to assume various deviations as far as the cost of this is concerned. So, we're really quite comfortable in our objectives and the evolution of investments. With regards to what we can add to operating profit from a strategic plan and the ups and downs, the company has to have enough means to be able to face this growth, and it is a process that we have already started, and that will continue throughout this year and part of 2027. And that, in fact, does affect the rates of the EBITDA and its efficiency. And remember that we're starting with a volume that was quite relevant at the end of 2029. And of course, those ratios are going to affect -- have an effect. And of course, will be much more efficient in the future. But we have decided to be conservative as far as exploitation expenses are concerned to be able to maintain the growth that we're talking about. And just another thing, let's talk a little bit more about that the efficiencies that we see as far as financial structure is concerned for the cost of the equity and also some thoughts about the rating, but I also want to tell you what I was saying before with regards to the rating agencies and the [indiscernible] that Redeia has to them. As we said before, the context of the company has changed radically from the last few revisions, reviews and the focus on regulated activity is much clearer. And really, what we expect to see is a treatment similar to other companies within Europe that have these same types of ratios that are going to be better than what have been applied to us in other years and in Spain and in other years. But I believe that the relationship we have with these agencies is quite close. We do believe that this horizon of BBB+ is the horizon that we think that we can reach. However, in a hypothetic case that there's much more investment or a much more restrictive position from the agencies. I'd like to remind you that we still have leveraging or hedging within the company to be able to reinforce this financial structure of the group if it is needed. Thank you. And continuing with what you said, first of all, talking about ratios. I think it's really important to highlight that these ratios of our credit ratios are very solid. In fact, much better than many others within Europe. And it's important to highlight that. Quite sincerely, we think they are clearly compatible with a BBB+ as far as our agencies are concerned and even a AAA+. And we think that, that will be the qualification that we will achieve from now on a AAA+. And we're looking at a solid investment grade. But in any case, this is a decision that has to be taken by both agencies according to what they want to do and Standard & Poor's and the others. And as far as upsides are concerned and adding something and some aspects that Roberto was saying, I also think it's important to say that from a financial point of view, we see upsides quite clearly by improving our cost of the debt compared to what we have in the pretax 658. And in any case, we're going to have average financial cost that's going to be better than what we've already shown. So also, what improves this 46%. Bearing in mind how solid we are in our balance sheet and our projections and all of these things, we believe that we're going to have higher leverage than 46%, keeping that solid investment grade. And by combining these 2 factors, better hedging and better cost of our debt, which is highly competitive, will permit us to create value. And as you heard not too long ago, to be able to get a return on investment above 9% and one of the important leverages that we have to have that ROI that is so attractive to create value for our shareholders has to do with our capacity for hedging and to be able to get into debt at a very competitive cost.
Operator: Next question from Fernando Garcia from RBC Capital Markets.
Fernando Garcia: I only have one question after everything you've said, and it's about the incentives you're using for your net guidance for 2029. Emilio, you just talked about financial performance. So, are you also considering operational outperformance and are you using any of that for your 2029 guideline? Or are you considering any incentives to generate some upside for your 2029 guidance?
Emilio Cerezo Díez: Excellent. Thank you very much, Fernando, for your question. Well, about the level of incentives we have integrated into the plan. As you know, our approach is usually very conservative. So, we prefer not to include any kind of incentives into the base case scenario we presented today. There might be an upside, but we don't want to make any comments on that. At an operational level, we're also being conservative in the hypothesis we have included into the plan. Certainly, by integrating new asset management policies and new elements related to innovation, we might -- just might achieve some operational efficiencies within the model.
Unknown Executive: Perhaps just to give you a flavor on it, well, there is a remuneration for works in progress, and that affects the investment portfolio we have planned within the plan. Another part of the portfolio is not affected, but the way it is conceived it might represent a loss of return in terms of the financial remuneration rate. But that deficit generated by not applying work in progress to the whole asset base can be offset. And as Emilio was saying, by financial management with medium and final cost of debt under the regulation threshold established in the FRR, we can generate value above that 9% return on equity we're considering.
Operator: There are no further questions in Spanish. We will now take questions. [Operator Instructions] Our first question comes from Arturo Murua of Jefferies. We are not receiving any audio questions from line. [Operator Instructions]
Unknown Executive: Well, it doesn't seem like there were any further questions. So, we go on to the questions we have received online. Most of them have already been answered. Daniel Rodriguez asks us the estimated cost of hybrid bonds and whether or not it is contemplated into the 3.3% contemplated in the estimated cost of debt. And Mafalda Pombeiro has 2 quick questions. The EUR 6 billion CapEx target, is it gross or net of subsidies as year-on-year? Or does it follow a growing progression? Well, thank you. The cost of the hybrid instruments we're contemplating is approximately 4% to 5%. Certainly, as you know, the market is looking very attractive now. And if we were to invest, we would come very close to that 4%. That 3.3% we set up as average financial cost for 2029 does not integrate hybrid instruments, but it does integrate the cost of funding of our telecom business and our international business, which are funded mostly in U.S. dollars. As I said before during the presentation, our average funding cost in the plan is 2.8%. If we were to integrate 50% of the cost of hybrids, that would take us to 3%. And if we consider the entire cost of hybrids, that would bring us to approximately 3.2%. And perhaps to answer Mafalda, just to clarify the numbers, those EUR 6 billion in investment are a gross number. We can consider an average annual investment of EUR 1.5 billion, going slightly up or down 1 year or the next, but we consider EUR 1.5 billion as an annual average. It is important to remember. [Statements in English on this transcript were spoken by an interpreter present on the live call.]